Operator: Welcome, and thank you for standing by. At this time, all participants are in a listen-only mode until the question and answer session of today’s conference. [Operator Instructions] I would like to inform all parties that today’s conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the conference over to your host, Whit Kincaid. Thank you. You may begin.
Whit Kincaid: Good morning, everyone. Thank you for joining us on Mueller Water Products fourth quarter and fiscal year-end 2021 conference call. We issued our press release reporting results of operations for the quarter ended September 30, 2021, yesterday afternoon. A copy of the press release is available on our website. www.muellerwaterproducts.com. Scott Hall, our President and CEO; and Martie Zakas, our CFO, will be discussing our fourth quarter and full year results, end markets and expectations for fiscal 2022. This morning's call is being recorded and webcast live on the Internet. We have also posted slides on our website to go along with today's discussion and address forward-looking statements and our non-GAAP disclosure requirements. At this time, please refer to Slide 2. This slide identifies non-GAAP financial measures referenced in our press release, on our slides and on this call and discloses why we believe that these measures provide useful information to investors. Reconciliations between non-GAAP and GAAP financial measures are included in the supplemental information within our press release and on our website. Slide 3 addresses forward-looking statements made on this call. This slide includes cautionary information identifying important factors that could cause actual results to differ materially from those included in forward-looking statements. Please review Slides 2 and 3 in their entirety. During this call, all references to a specific year or quarter, unless specified otherwise, refer to our fiscal year, which ends this 30th of September. A replay of this morning's call will be available for 30 days at 1 (800) 834-5839. The archived webcast and corresponding slides will be available for at least 90 days in the Investor Relations section of our website. I'll now turn the call over to Scott.
Scott Hall: Thanks, Whit. Thank you for joining us today. I hope everyone listening to our call continues to stay safe and healthy. The fourth quarter was a disappointing end to a strong year, which we achieved despite the ongoing pandemic and other challenges. In addition to the pandemic, we have faced many obstacles over the past year, including significant raw material and other cost inflation, supply chain disruptions and labor availability challenges which impacted fourth quarter operations and results. I want to thank all of our team members for their perseverance and dedication throughout this past year as they continue to execute in this unprecedented operating environment. Our consolidated net sales increased 11.4% for the fourth quarter, 15.2% for the full year. Following record sales growth in the third quarter, we experienced continued strong demand in the fourth quarter driven by both new residential construction and municipal repair and replacement activity. Fourth quarter orders remained elevated compared with pre-pandemic levels and we ended the year with record backlog for our infrastructure products. While our fourth quarter adjusted EBITDA decreased primarily due to the challenging operating environment, we still achieved 6.8% growth for the year. Although we realized improved pricing in the quarter for the majority of our products, it was not enough to offset the continued higher inflation. We do expect that our current pricing actions will more than cover anticipated inflation in 2022, assuming material costs do not increase beyond current levels. Additionally, during the quarter, our specialty valve product portfolio experienced longer delivery time for parts, delaying shipments and our ongoing plant restructuring has been impacted by the supply chain disruptions and labor challenges. I am especially pleased with our cash flow for the year, where we generated $94 million of free cash flow. We ended the year with a stronger cash position compared with the prior year after acquiring i2O Water for $19.7 million and allocating $44.8 million to shareholders. We repurchased $10 million of common stock during the fourth quarter and recently announced a dividend increase of approximately 5.5%. In summary, while we had a disappointing finish to the year from a conversion margin perspective, we delivered strong top line growth and remain focused on overcoming the operational challenges. We believe that the record backlog across our short-cycle products, coupled with the expected realization from higher pricing, have positioned us to deliver net sales and adjusted EBITDA growth in 2022. Additionally, we are nearing the completion of our 3 large capital projects, which we expect to drive gross margin benefits once they are up and fully running. I am confident that we are in a great position to accelerate our strategies and improve our culture of execution as we become a world-class water technologies company, bringing solutions to critical water infrastructure. With that, I'll turn the call over to Martie to discuss our 2021 fourth quarter and full year results. 
Martie Zakas: Thanks, Scott, and good morning, everyone. I hope you and your families continue to be safe and healthy. I will start with our fourth quarter 2021 consolidated GAAP and non-GAAP financial results, then review our segment performance and finish with a discussion of our cash flow and liquidity. During the fourth quarter, we generated consolidated net sales of $295.6 million, which increased $30.3 million or 11.4% as compared with fourth quarter last year. The increase was primarily a result of increased shipment volumes and higher pricing at Infrastructure. We generated a 10.8% increase in consolidated net sales when compared with the fourth quarter of 2019, which preceded the pandemic, reflecting improved end market demand. Our gross profit this quarter decreased $7.6 million or 8.1% to $86.3 million compared with the fourth quarter of the prior year, yielding a gross margin of 29.2%. Gross margin decreased 620 basis points compared with the prior year. Higher pricing and infrastructure and increased shipment volumes were more than offset by continued higher inflation and unfavorable manufacturing performance, which includes the impact of labor challenges, supply chain disruptions and our plant restructurings. Our total material costs increased 18% year-over-year in the quarter, primarily driven by higher raw materials, which increased sequentially and year-over-year. Our primary raw materials are scrap steel and brass ingot and prices of both were up over 50% year-over-year. While our price realization improved sequentially, and our price/cost relationship was negative for the third consecutive quarter. Given the acceleration of raw material pricing in the quarter, the price-cost relationship did not improve as much as anticipated due to the level of inflation. Scott will discuss the drivers of the decrease in gross margin versus expectations in more detail later in the call. Selling, general and administrative expenses of $56.6 million in the quarter increased $4.5 million compared with the prior year. The increase was primarily as a result of investments, including the i2O Water acquisition, IT-related activities and personnel-related costs, the reversal of temporary T&E savings relating to the pandemic and general inflation. SG&A as a percent of net sales was 19.1% in the fourth quarter compared with 19.6% in the prior year. Operating income of $27.8 million decreased $12.9 million or 31.7% in the fourth quarter compared with $40.7 million in the prior year. Operating income includes strategic reorganization and other charges of $1.9 million in the quarter, which primarily relate to our previously announced plant restructuring. Turning now to our consolidated non-GAAP results. Adjusted operating income of $29.7 million decreased $12.1 million or 28.9% as compared with $41.8 million in the prior year quarter. Higher inflation, unfavorable manufacturing performance and higher SG&A expenses more than offset higher pricing and increased volumes in infrastructure. Adjusted EBITDA of $45.6 million decreased $12 million or 20.8%, leading to an adjusted EBITDA margin of 15.4%, which is 630 basis points lower than the prior year. For the full year 2021, we generated adjusted EBITDA of $203.6 million, which grew 6.8%, yielding an adjusted EBITDA margin of 18.4%. Interest expense net for the 2021 fourth quarter declined to $4.4 million as compared with $6 million in the prior year quarter. The decrease in net interest expense in the quarter primarily resulted from lower interest expense as a result of the refinancing of our senior 5.5% notes with senior 4% notes. The effective tax rate this quarter was 24.3% as compared with 24.8% last year. For the full year, our effective tax rate was 25.8% as compared with 23.5% for the prior year. For the quarter, we generated adjusted net income per share of $0.12 compared with $0.17 in the prior year. Turning now to segment performance, starting with Infrastructure. Infrastructure net sales of $271.9 million increased $29.9 million or 12.4% as compared with the prior year primarily as a result of increased shipment volumes, particularly of hydrant, iron gate valve, service brass and repair products and higher pricing. Adjusted operating income of $46.2 million decreased $10.6 million or 18.7% in the quarter as higher inflation, unfavorable manufacturing performance and higher SG&A expenses were only partially offset by higher pricing and increased volumes. Adjusted EBITDA of $59.3 million decreased $10.3 million or 14.8%, leading to an adjusted EBITDA margin of 21.8%. For the full year, adjusted EBITDA margin was 25.2%. Moving on to Technologies. Technologies net sales of $23.7 million increased 1.7% as compared with the prior year primarily as a result of our acquisition of i2O Water. Organic net sales declined slightly compared with the prior year as higher pricing was more than offset by lower volumes. Adjusted operating loss was $4.3 million as compared with adjusted operating loss of $2.3 million in the prior year. This increase was primarily due to unfavorable performance, including inventory adjustments increased expenses associated with our acquisition of i2O Water and higher inflation, which were partially offset by higher prices. Technologies adjusted EBITDA was a loss of $2.4 million as compared with adjusted EBITDA loss of $200,000 in the prior year. Moving on to cash flow. Net cash provided by operating activities for the year ended September 30, 2021, improved $16.4 million to $156.7 million, primarily as a result of the $22 million Walter Energy tax payment in the prior year. Our net working capital as of September 30, 2021, decreased $11.3 million to $207.1 million. Net working capital as a percent of net sales improved to 18.6% compared with 22.7%, primarily as a result of better inventory turns. We invested $16.6 million in capital expenditures during the fourth quarter, bringing the year-to-date total to $62.7 million as compared with $67.7 million in the prior year. The decrease in capital expenditures for the year, which was below our updated guidance range was primarily due to the supply chain disruptions that have slowed the pace of some planned expenditures, including spending for our large capital projects. Free cash flow for the year improved $21.4 million to $94 million and exceeded adjusted net income. At September 30, 2021, we had total debt of $446.9 million and cash and cash equivalents of $227.5 million. At the end of the fourth quarter, our net debt leverage ratio improved to 1.1 times from 1.3 times at the end of the prior year. We did not have any borrowings under our ABL agreement at year-end, nor did we borrow any amounts under our ABL during the year. As a reminder, we currently have no debt maturities before June 2029. Our senior 4% notes have no financial maintenance covenants, and our ABL agreement is not subject to any financial maintenance covenants unless we exceed the minimum availability thresholds. Based on September 30, 2021 data, we had approximately $158.7 million of excess availability under the ABL agreement, which brings our total liquidity to $386.2 million. In summary, we continue to have a strong, flexible balance sheet with ample liquidity and capacity to support our capital allocation opportunities. Scott, back to you.
Scott Hall: Thanks, Martie. I'll touch on our fourth quarter results, new management structure, end markets and full year 2022 guidance. After that, we'll open the call up for questions. As mentioned earlier, there were a number of challenges during the quarter, which impacted our gross margins and led to the disappointing adjusted EBITDA conversion, which was below our expectations. The gross margin gap was approximately $15 million with the labor challenges making up more than one-third of the gap. Higher inflation, freight and electricity costs, combined, also accounted for more than one-third of the gap. Of the other factors, the operational challenges for our specialty valve product portfolio had the largest impact, along with unfavorable inventory adjustments. The labor challenges have led to an increase in costs associated with overtime, benefits and efficiencies. We provided additional performance incentives for team members at the plants, recognizing their hard work and dedication throughout this exceptionally challenging operating environment. Additionally, the pandemic continues to pose labor challenges for us even with the progress made with vaccinations. Our teams are working closely to continue to improve our relationships with our employees and enhance our efforts around hiring, training and retention. Raw material inflation continued to be a headwind during the quarter. We experienced another sequential increase in raw material inflation, resulting in scrap steel and brass ingot prices up over 50% versus the prior year. Raw material prices didn't start to accelerate higher until the second quarter of 2021. Therefore, we anticipate that raw material inflation will be most impactful in the first half of the year if prices do not continue to increase. In the past, we have been successful in executing price increases as needed to more than cover inflationary expenses over the cycle. Our pricing actions during this past year, which include free price increases across most product lines, are helping to offset inflation as we saw a notable sequential increase on our price realization during the fourth quarter. Unfortunately, record backlogs are extending the timing for the realization of continued price benefits. So we do not expect to be in a positive price-cost position on a quarterly basis until the middle of 2022. At this time, we expect that our current pricing actions will more than cover anticipated inflation in 2022. This belief assumes that material costs do not increase beyond current levels. The strong demand we have experienced also led to some manufacturing inefficiencies, triggered by the rapid increase in volumes, particularly in the second half of our year. With the increased demand, we are having to run our foundries during peak periods leading to much higher energy costs. The supply chain disruptions have also led to higher freight costs and extended lead times for some third-party purchase parts. Our supply chain teams have been focused on obtaining needed supplies on a timely basis and working to find alternative sources where possible. While we believe our actions will put us in a better position to increase shipments to meet demand, we anticipate that supply chain disruptions and labor availability will continue to be headwinds well into next year. In the fourth quarter, the operational challenges were even greater for our specialty valve product portfolio, which accounts for approximately 15% of annual sales. These products are typically used in large projects with long lead times. Due to the longer manufacturing and delivery times, the gap between material cost inflation and pricing improvements can be more than now. Additionally, as a reminder, we announced a major plant restructuring project in the second quarter of 2021. At that time, we were anticipating a different operating environment. The strong demand, supply chain disruptions and labor challenges have impacted shipments for these products and increased the transition cost for our plant restructuring. We remain confident that we will fully complete the transition and ramp up in 2023 with the margin benefits following accordingly. We recently announced a new management structure beginning with the first quarter of 2022. The new structure is designed to increase revenue growth, drive operational excellence, accelerate new product development and enhance profitability. We believe that the new structure positions us for improved long-term growth and increase margins while helping to accelerate the commercialization of our technology-enabled products and the Sentryx software platform. The 2 newly named business units are Water Flow Solutions and Water Management Solutions. Water Flow Solutions product portfolio includes iron gate valves, specialty valves and service brass products. Net sales of products in the Water Flow Solutions business were approximately 60% of 2021 consolidated net sales. Within the Water Flow Solutions business unit, we will advance manufacturing and assembly efficiencies across valves and brass products while driving the expected benefits from our 3 large capital projects. Additionally, we will look to increase growth in existing product areas and support expansion of valves into adjacent markets. Water Management Solutions product and service portfolios include fire hydrants, repair and installation, natural gas, metering, leak detection, pressure control and software products. Net sales of products in the Water Management Solutions business unit were approximately 40% of 2021 consolidated net sales. Within the Water Management Solutions business unit, we look to leverage our hydrates, which provide a bridge for digital communications throughout the water system with enhanced coordination among products and services. Also, we plan to reduce product development cycle times with enhanced coordination of digitally enabled products and network management. Turning to our end markets. We again experienced strong demand and order growth in our fourth quarter driven by both new residential construction and municipal repair and replacement activity. While we expect the end markets to remain healthy in 2022, we do anticipate that growth will slow down relative to the strong recovery we experienced during 2021. State and local budgets appear to be in good shape, especially at the larger municipalities. The aging water infrastructure will continue to be a driver of repair and replacement activity at water utilities. We were pleased to see that the federal infrastructure bill was passed over the weekend. It is an important step forward for the needed investment in our aging water infrastructure. We have not built any benefits from the bill into our assumptions for our 2022 guidance. While we expect residential construction activity continue to be healthy relative to pre-pandemic levels, we expect that it will be difficult to achieve significant growth again in 2022. Residential construction activity was incredibly strong during 2021, highlighted by total housing starts increasing approximately 18% and single-family starts increasing around 23%. We believe that supply chain disruptions, which are extending overall build cycles for new residential construction could support a healthy demand environment well beyond 2022. Moving on to our expectation for 2022. The record backlog across our short-cycle products and the expected realization from higher pricing position us to deliver net sales growth in 2022, continuing the strong net sales growth achieved in 2021. We believe the operating environment will remain challenging, especially in the first half of the year, with the potential for gradual improvement during the second half of the year. We currently anticipate that our full year 2022 consolidated net sales will increase between 4% and 8%, with our adjusted EBITDA also increasing between 4% and 8% as compared with the prior year. We expect to generate solid free cash flow during the year. These expectations assume the challenges associated with higher inflation, labor availability and supply chain disruptions and the pandemic's impact will modestly improve relative to 2021, and that material costs do not increase beyond current levels. Our focus remains on keeping our employees safe, protecting our communities, delivering exceptional products and support to our customers and generating strong cash flow. During 2022, we will remain focused on executing our strategic initiatives and overcoming the external and internal operational challenges. We are committed to improving our culture of execution as we become a world-class water technologies company, bringing solutions to critical water infrastructure. We are excited about the progress we have made in our new product development programs and the growing market acceptance for digitally enabled product offerings such as our Super Centurion smart hydrant, Sentryx software platform, and i2O pressure management solutions. Additionally, we are making progress on our sustainability initiatives, and we'll share our strategic goals and progress in our second ESG report to be published in January of 2022. With a strong balance sheet, liquidity and cash flow, we are very well positioned to accelerate growth and efficiencies through capital investments and acquisitions. We will continue to maintain a balanced approach to capital allocation, investing in our business and returning cash to shareholders. We recently announced another increase to our quarterly dividend, marking the fifth increase since the end of 2016. Additionally, we repurchased $10 million of common stock during the fourth quarter after resuming our share repurchases earlier this year. We currently have $135 million remaining authorization on our share repurchase program. That concludes my comments. Operator, please open this call for questions.
Operator: [Operator Instructions] Our first question today comes from Bryan Blair. Your line is now open.
Bryan Blair: So you covered the headwinds you faced at a high level. I was just hoping you could quantify the impact of price costs, supply chain delays, labor-specific challenges in the quarter, and how you're thinking about each of those factors looking to the early part of your fiscal '22 and the impact on incremental progression?
Scott Hall: Okay. Well, I think that the -- kind of as a reminder, the updated annual guidance implied was lower adjusted EBITDA conversions compared with the prior guidance range that we gave for Q4. So I'll kind of try and do the delta to the guidance we gave. So net sales growth is a little bit higher, slightly higher than the midpoint of our implied Q4 guidance. The 23% decrease in adjusted EBITDA compared with the midpoint of our implied Q4 guidance was driven almost exclusively by the reduction in gross margin. Challenges during the quarter that impacted our gross margin, let's call it, $15 million to keep it simple. I would say that the labor challenges and their knock-on effects and the premiums paid for overtime, attendance incentives, all those kinds of things with as I said in my prepared comments, a little more than 33% of the $15 million. And then when you get into the fact that we had the surcharges on freight, we had surcharges on utilities, the higher inflation than anticipated, that was a little more than one-third as well. So those were the 2 big drivers. And then let's call it, ballpark 30% or whatever the math worked out to, 28%. The biggest -- there was a lot of cats and dogs in there, Bryan, but I think the biggest was the challenges faced in Kimball, both with hiring and ramping up a new plant at these higher demand levels. And I think I wanted and have always been blunt about these things with you guys. And so I'm not going to change. I think one of the big drivers here is if we had our time back, would we have accelerated the closure of Surrey and Aurora in this kind of demand environment? I think the answer is no, we wouldn't have. We had a different operating environment. We had a different assumption about how the specialty valve business would look. We expected project work to actually contract. And that's probably the biggest driver of -- when you look at this $5 million of headwind, what did we get wrong? I think it comes back to the decisions we took when we did the layoffs, when we did the furloughs, when we accelerated the closures, we were expecting a very different demand environment. And that's on us, and we'll accept the responsibility for it.
Bryan Blair: I appreciate all that detail. And you mentioned accelerating price realization in the quarter. What was that figure for your fiscal 4Q? And given carryover price from back half increases and assume fiscal '22 increases, you'd have to assume both will still be above average level. What price is contemplated in your plus 4% to 8% sales guide?
Scott Hall: Okay. I'm sorry. Yes, first me, Martie, then you. The price -- the 3 price increases that we have announced, the first price increase now is completely, I think, in our results. The second price increase is about 30% in our results, and the third price increase will start coming into our results this month and beyond. So if you look at where the backlog was, when the timing of the price increases are, what our ship rates have been, we have basically that third price increase that we announced in August completely tied up in our backlog. And so there's -- as long as we get stable cost environment, we should start turning positive price-cost in our fiscal Q3. So negative Q1, let's call it, breakeven Q2, and then positive beyond. Martie?
Marietta Zakas: Yes. So when we're taking what Scott said, when we look at expectations for full year 2022, and that assumes that raw material and other costs don't increase from where we are we expect to be positive on price-cost for 2022, but we wouldn't were, as we always say, over the full cycle, our expectations are to more than cover cost and preserve margin. Don't expect at this point to be at that position in 2022.
Scott Hall: Correct.
Bryan Blair: And you mentioned the infrastructure bill now having passed, that's a high-level positive, but not factored into your fiscal '22 outlook. Looking forward, how should we think about the impact on demand and potential catalysts for formula -- I'm thinking that for smaller municipalities, the rate of tech adoption may increase, having that incremental funding could be somewhat game-changing as we look to your fiscal '23, '24. Just curious -- and any update that you can provide there?
Scott Hall: Yes. So yes, absolutely positive news -- to come right at your question, definitely, you should see it as a tailwind for us in our forecast. I think I do have some concerns that given the machinations of the federal government that fund availability in '22, I think, could be very, very aggressive. I think the key areas of where the bill is, there's $12 billion each for drinking water and clean water state revolving funds, $15 billion for replacement of LEAD contaminated drinking water infrastructure and approximately $10 billion to address emerging contaminants such as PFOS. And then there's another $50 billion outside of that that would go towards making the infrastructure system more resilient, including protecting it from ground flags and cyberattacks that $50 billion has to be shared with the electric grid. But I think that all in all, that the bill, I think, will address a lot of what we're on. What I particularly like about the bill which I don't believe that these incentives, I think they move demand around generally and they don't create new demand. But I think this bill may actually not do that. I think as bill we'll actually make funds available to people who will not be able to afford to invest. And so those communities that have a declining population and perhaps have a declining average income in real dollars, that we're going to be strapped to maintain their system, think up in the upper Midwest, I think in the parts of the Northeast and the old Rust Belt, those communities are going to be able to access the funds faster than anybody else and they'll qualify quicker. So if you're in a community that has growing population, growing income, so your base is increasing, your rate is increasing, it will be more difficult for you to access some of these funds. But if you're an old line community that's kind of followed on her times, I think you will get some renewal dollars for your infrastructure that you otherwise would not have been able to afford. So I feel pretty good about that. Remind everybody, it's an 8-year time line on the investment cycle, and I expect it will be a little slower in the beginning and then the investments will ramp up in the middle years.
Operator: Our next question comes from Deane Dray with RBC Capital Markets. Your line is now open.
Deane Dray: I appreciate all the specifics in being able to size the headwinds on the inflation supply chain and so forth. Can you give some color about how the monthly cadence of this progressed in the quarter? Because it really does seem like it got away from you, more so than other companies that we cover. I appreciate how, frank, you've given the specifics, but maybe just how much did this kind of catch you by surprise? Was it a last-month-in-the-quarter event? Maybe some color there, please.
Scott Hall: Yes. So just to give everybody some idea, if you look at the inflation curve that we've experienced for the year, almost half of our full year inflation happened in the fourth quarter. So I think we'll see that it was like 49% of all inflation for the year happened in the fourth quarter. And then as we pressed into the final 2 months of the quarter, that is when our labor problems had been exacerbated. And I'm going to tell you that, that is probably something that we should have caught whatever you're running as much overtime as we are right now and you're in the dog days of summer and you're going through June and July, those August, September time frames, that's when you should probably have anticipated the absenteeism ticking up as it did, but that certainly wasn't in our wheelhouse. We had thought that our attendance would be kind of flat being -- so yes, more of it back loaded in the quarter, certainly, inflation has been in the last half of the year, and the vast majority of it in our fourth quarter. When you look at our performance, our manufacturing performance, basically, all of it was lost in the last 2 months. So we were basically at breakeven. So the pluses of material savings, VAVE projects, capital projects, implementations. We're kind of fighting off some of the increased costs and inefficiencies associated with the pandemic through the first 9 months of the year and then in the fourth quarter, the labor driven, the shortage driven, the fact that we were in our utility peak periods, basically drove our manufacturing performance for the year negative.
Deane Dray: That's really helpful and give us context about kind of what real time was happening. And it's clear -- look, every time Scott, you've spoken during the course of the whole COVID era, if you want to call that, you've been upfront about what you're doing for your employees and the incentives. And so we fully appreciate the efforts that you've gone there. Just the idea on the hedging of materials. I mean, those are big numbers on steel and brass. Can you remind us how you're hedging -- And I don't mean financial hedges, but are you doing prebuying? How much is locked in, in the current quarter? And that would be helpful.
Scott Hall: Yes. So we buy our ingot forward as far as our backlog goes. So if you -- to give you an example, if you got 3 million pounds on backlog, then we try to have 3 million pounds of purchases out there, actually less than that because we rebuilt our chips, but those numbers. Unfortunately, what's happened in a couple of the markets, including the scrap market is availability from the supply base to get that many pounds forward has been has been difficult. And so I think right now, we're a quarter forward on brass, but we still have exposure on scrap steel because there's just not enough scrap steel out there that we can acquire and the shredders and the cutters are not accepting orders beyond what they have because they don't know what their inbound is.
Deane Dray: And just last one since you brought up backlog. You don't typically see a bigger backlog build in your shorter cycle businesses. Do you have the ability to reprice on the backlog? And is there any kind of past due backlog number you could share?
Scott Hall: Yes. So we don't really have the ability to reprice the short cycle product backlog. And so that's what the price increases get announced. They have their forward buy window, they've taken advantage of it. I think philosophically -- I'm not making a market announcement here, but philosophically, I'd like to find a way that while the backlog is above -- I'm making this up, say, x days, that when we announced the price increase, there will be no prebuy period, that it will be price in effect at time of shipment. That has not been done. That's something we're kicking around with our channel partners right now. But to announce a fourth price increase here in the next few months and then have the prebuy simply drive everything out again, I think, would be a pointless exercise. And so we're looking to see what we can do to change during these circumstances. But in general, very little to do on the brass and gate valve and hydrant front when we have fixed price agreements and the 30-day window for them to change their systems. And that's something I'd like to just comment on a bit for everybody is that look, part of the prebuy window is not just to move demand around. It's also, if you can imagine the customer with 500 or 600 branches needing to get all of their systems updated so that they have coordinated buy information, time and effect, things like that, so that they can scrub their existing contract commitments is difficult for them, to just wake up 1 one and say, okay, the prices are up.
Deane Dray: Yes. We absolutely appreciate the complexities of the timing on price increases and the obligations you have your channel partner. So I appreciate that additional color. And just last one, it's not a question, just a comment. We really do like the new resegmentation, makes all kinds of sense. So congrats on making that move. Hopefully, Martie has lots of restatement quarterlies for us because that's a big help.
Operator: Our next question comes from Brian Lee with Goldman Sachs.
Unidentified Analyst: This is Miguel on for Brian. On adjusted EBITDA margins, they were down this quarter, and then the midpoint of your guidance suggests flat adjusted EBITDA year-over-year. So just a couple of questions to start on on supply chain and inflation and labor and also just the timing on price realizations each quarter. Can you talk through how you expect each of these to evolve over next year? And then based on the visibility you have, was this quarter sort of the bottom? Or how should we think about when we start to see some of these things get better and then you start to see a rebound in margins? And then I have a quick follow-up.
Marietta Zakas: Yes. So generally, I would say as we're looking out over our 2022, I think a lot of it goes back to the discussions in and around the price-cost relationship. We've referenced what we've seen in terms of price increases for the raw material and other material costs. So our expectation is as we go into 2022 that will be a tougher curve because if you remember, we really started seeing the price increases coming around our second quarter of 2021. So we think we'll have the toughest comparisons in the first half of 2022, improving that price cost on a quarterly basis and again, with the assumption that material costs don't increase beyond current levels and with the pricing actions that we have taken to date, we do expect that we'll cover the inflation -- expected material cost inflation in 2022.
Unidentified Analyst: And then just one more, if I could squeeze it in, and I'll pass it on. To what extent, if any, have you seen maybe any demand being pulled forward ahead of price increases? And if so, should we expect maybe a stronger early part of fiscal 2022 versus typical seasonality?
Scott Hall: Yes. I think that there is some expectation that our Q1 will be -- which is the tapering of the construction season, and that January quarter probably being the slowest, then there will be some production going back into the channel that probably will alter some of the seasonality of the business. So I think that's something we can expect. But as far as the inventory in the channel, it's really tumultuous right now. Like if you look at people who've reported their inventories are up, but if you talk to them, a lot of them have inventories up simply because kind of having logistics problems for instance -- I'll give you an example, pipe might be on much longer lead times than the valve and the hydrants. And so they're -- they've got a contract for a job. Product A comes in, they're still waiting on product B, the contractor doesn't want it until they can have an install. You're not going to put pipe in the ground without valves. You're not going to put valves in the ground without pipes. So they've got a lot of that kind of going on in the channel right now. But I do believe, in general, while inventories are up, demand is up enough that when they get some of these logistics levels sorted out, we expect that they would still be in a need for material in their inventory. That is to say that they're under inventories given their contract obligations they have currently.
Operator: Our next question comes from Joe Giordano with Cowen. Your line is now open.
Joe Giordano: So we kind of asked this in a bunch of different ways, but if I look at your revenue guidance for next year, how much of that do you think you hit from just price capture loans? I guess I'm trying to understand what's the implied volume growth next year on that like, 48%?
Scott Hall: I think you could think of it as kind of about half units, and then the balance economics, whether it's price or price inflation.
Joe Giordano: Okay. That's fair. That's what we're trying to get at -- And then -- What we've seen in the last quarter here has generally been the advantage of being vertically integrated as a company because you're not getting stuck with like component parts and things like that. So that's what I think made this a little more surprising. I understand that some of the restructuring actions have kind of created that issue. But maybe you could talk to what gives you confidence in the leverage inherent in your production base given what high demand is when you want to have that kind of set up, right? And you got like electricity charges and stuff. So if demand is going to ramp down a little bit, just talk about what the leverage is in your system.
Scott Hall: Yes. So I do think we're going to be able to react better. I do think that we are going to be in a position, even with the 11.4% growth, it's probably going to be better than anybody who isn't vertically integrated because their problems associated with the supply chain, if they're getting their castings from Poland or they're getting them from China or whatever, they're going to have these huge delays just like our specialty business is experiencing right now. Let me back up and -- I'm not big on self-flagellation, but let me say something I said earlier. If we had -- If you were to take this apart and say, how could we have not experienced some of this $15 million of headwinds we had in Q4. I would put almost half of our problems at the feet of the decisions we took when the pandemic started, and we did the layoffs, and we did the furloughs and we clamped down on plant spending and we reduced inventories. And we did all of those things to protect liquidity. And I think it is useful as a management team to sit down and say, okay, what did we do right? What did we do wrong? I think that was the wrong call. If we had known the demand environment we're going to see, I wouldn't have laid off a single person because a lot of those people that we did lay off went and got other jobs and now we're scrambling for labor and skilled labor to boot that has made us have some problems here. So as we work through that as we get these temps up to speed, on what they're making. I believe that our leverage on volume -- yes, we'll still have to pay freight surcharges. Yes, we'll still have the utility surcharges. But I expect a lot of the, let's call them, transitory expenses that we had in the fourth quarter on that $15 million, I expect them to go away. And even if it's 40% that go away immediately. We'll get that lift then we get the lift on the fact that we're getting higher than normal Q1 volumes as a result of the strength of the backlog. And so yes, I have confidence that we will be in a better position than everybody else who's dependent on third-party supply for their castings and for their assembly. And so I do think we have leverage in front of us, and that's why we came out with guidance that we feel like it's something that we can achieve.
Joe Giordano: Do you worry at all that there's structural labor issues? And I know you have some of your facilities in fairly remote areas. Are there just structural problems with the labor supply for like an extended period? Is there any worry about that?
Scott Hall: Yes. I do think so. I mean, I am worried about it, but I think that we have good jobs, their union representation -- labor challenges have led to an increase in costs associated with overtime benefits and efficiencies. I think the pandemic continues to pose labor challenges for us even with the progress made with vaccines. I think these ocean rules and -- some of those things is not helpful in trying to say here's what the labor pool looks like. I think there's people on both sides of the aisle, saying, am going to get back in the workforce or I'm not going to get back in the workforce. And at these elevated demand levels, our absenteeism remains a challenge because we're working people, I think, too much and not getting people in the front door fast enough. So yes, I am concerned about it. But I would also remind everybody that labor is a relatively small piece of our cost of goods sold. And as a result, even if I had to grow a 10% or 20% premium at current levels, I still think it would be well worth it economically to make sure we've got people in the door to make the product because the payoff is so much higher. Our problem when you get down to the materials and the things like that, that came in, I think, are greater risk to our financials, would come from another shock in the world economy that drove more inflation. And I am concerned that you go in to spend $1.2 trillion over 8 years. We've got a lot of money in creation right now in the system, that we could have a little lingering effects from inflation. And I think that's probably a bigger risk than the labor risk. I think the labor risk is a short-term risk.
Operator: Our next question comes from Walt Liptak with Seaport. Your line is now open.
Walt Liptak: I wanted to ask about -- you guys called out the buyback a couple of times during the presentation and pointed out to us the authorization. Is there a kind of a balance that you're looking at with share repurchase versus M&A? Should we read something into that? Or are you just pointing that out?
Scott Hall: Just pointing it out. I think we've been really consistent with our capital allocation philosophy. I think that we've said for years now, we want a balanced approach between returning cash to shareholders between our CapEx programs and between acquisitions. It's an old line of business, but getting into technology, starting the digital transformation in the business, I think there was lots of opportunity to invest back in the business. I think we've shown that we are doing that. With the increases in dividends and the share buybacks, I simply want to remind everybody that we continue to return cash to shareholders. So not a signaling comment at all, just simply reminding you all that our philosophy around a balanced approach to capital allocation has changed.
Walt Liptak: All of our companies are getting hit by this inflation, labor issues, supply chain. So it's nothing new to us, especially this late in the quarter. And there seems to be a stabilization going on. So my question is, when you were looking at the guidance, it looks a little bit on the conservative side to us. I mean what could go well in your view that might make the 2022 a little bit better than expected?
Scott Hall: Well, I wouldn't call it conservative. I would say we're being cautious given the current environment because there's still a great deal of uncertainty. But certainly, there are some tailwinds out there. There's no question, depending on what happens with the speed with which infrastructure spending gets in place, how communities with -- there's still a lot of money in municipal budgets as a result of the work that was done in the CARES Act piece. I mean if you go back 2 years ago, I think there was $50 billion assigned to municipalities. And so I think that there are some tailwinds that could find their way into making drinking water, in particular, a priority and that it could have more infrastructure change out. We also believe that the break-fix piece of the business could have some upside depending on what failure rates look like going forward and whether they continue to accelerate or not. So there are some positives. But I wouldn't characterize the guidance as conservative, so much as cautious.
Walt Liptak: Okay. Fair enough. And then the last one for me. On the residential outlook, I wasn't sure if I understood 2022. Are you expecting volume growth in your residential products in 2022?
Scott Hall: Yes. We're expecting some modest amount of growth in the resi market as a result of lot developments. But we -- there's -- I don't think there's enough capacity in the system to outstrip the growth we had last year. I mean, I think we said that the housing starts were up 18%, single-family homes, up 23% last year. I don't think those kinds of numbers can be replicated. I think that when we look forward, and we're cautious about residential delivering additional growth beyond '21 levels, with around 1.1 million single-family starts is I think where our model is.
Operator: [Operator Instructions] Our next question comes from Zane Karimi with D.A. Davidson. Your line is open.
Zane Karimi: So first off, a little bit around the Technology Solutions business. Are you seeing any challenges around getting chips or anything like that? And if so, are there any signs of those not alleviating?
Scott Hall: Yes, great question. Yes, we are seeing difficulty, especially on the comp side of the business, whether it be on the cell chips or even the radio chips in our My Node line. And so far, we've been able to meet demand with aftermarket sourcing and kind of scouring the earth for different distribution sources, obviously, at a premium. I think the supply teams have done a great job to find alternative suppliers. We're right now focusing on alternative sources. And those sources I think, as we've been talking about for the last hour or so has driven some of the inflation that we've seen. I expect those supply chain disruptions to continue and to be a challenge in 2022. But I believe we can continue to improve sales of technology-enabled products and services based on the progress we made versus 2019 sales. And I think that we've got -- we're going to have lots of challenges with sourcing, but I don't see it getting in the way of us achieving our numbers in 2022. I do not think we're going to see an easing. And frankly, I'm concerned about the level of rhetoric that exists right now between the U.S. and China, which -- China has a lot of the chipset manufacturing there. And so I think sourcing from Taiwan and Vietnam and other places is something that we're going to continue to focus on as we go forward.
Zane Karimi: Okay. And then I know we've talked a bit about pricing today, but from an industry perspective, are you seeing similar price increases from your competitors? I feel like historically, there hasn't really been any product substitution. Any reason to see that change will be different in the coming year?
Scott Hall: Well, I don't comment on what our competitors are doing, nor am I really aware of anything. But I do think we have well-developed markets for inputs. So we are dealing with the same inflation challenges as the competitive base. And so I believe we operate in a rational market and expect everyone to adjust prices as they experience significant increases in material costs. And so I think that's been a hallmark of this industry and it's something I've been saying for 5 years. I do believe we operate in the rational environment. As to what their specifics are, I'm not really aware but I do think the switching costs are such that a 200 or 300 basis point difference in price is not going to turn a municipality one way or the other unless they have their own design and we all have their tools.
Zane Karimi: Okay. And last one for me. How do the i2O contributions look compared to what you were expecting or hoping for this quarter?
Scott Hall: So far, I think we're very, very excited with the integration. I think that where we are with the iNet -- and I saw a demo just the other day of Sentryx using the pressure controller. So we've got a beta out there right now. And I think I'm excited about the progress the team has made in the process of integrating software platforms for the North American market. I think we have lots of synergy opportunities yet to exploit to include pressure loggers to provide data with the Echologics product, connect that to Sentryx and then have better insights about whether something is a real leak or maybe even the shape of the leak, I think there's a lot of promise around using AI to use pressure and acoustic data to characterize leaks more accurately, better. And so I think that the team is working diligently on that. A couple of notes though. I think we have multiple pilots underway. We have got the pressure controller that will allow you to vary pressures or pressure zone. We've got the pressure loggers which will, I think, provide synergistic data with Echologics. And we're right in the application interface between Sentryx and iNet. And so I expect that 2022 will be an important year for i2O's acceptance in the North American market. But all in all, I would say it's good progress. As for their contribution, it's so small. It's currently a very small business, slight loss-making business, but that's not why we bought it. We bought it because we've wanted to get into pressure controlling and pressure monitoring along with the acoustics monitoring.
Operator: We have no further questions in queue.
Scott Hall: Thank you, operator. Look, before I leave, I think we've -- we spent a lot of time talking about the inflation. I think the takeaways on the cost side, certainly, I hear what people are saying. But on the positive side, I do think achieving the 11.4% sales growth, getting the units out the door, satisfying contracts and customer demands making sure we remain as a service-focused organization is in the end as important as making the money. And so I do think that the $15 million of headwinds we experienced in the quarter, I wish we could have avoided them, absolutely. But would I have not shipped something in order to -- I think our position in the market, our number one fire hydrant position, our number one gate valve position, is all enhanced by the team's commitment to operations and to satisfying customer demand. And I'd like to think that given the strength of sales that we had that we had a very good quarter, executing on the growth side and still have some work to do on the cost side. But all in all, difficult but pleasing quarter. So I'd like to thank everybody for joining us this morning. And operator, with that, you can close it up.
Operator: Thank you all for participating. That ends today's conference. You may disconnect at this time.